Operator: Good afternoon, ladies and gentlemen, and welcome to the Tidewater Midstream and Infrastructure Ltd. Q1 Financial Results Conference Call. At this time all lines are in a listen-only mode. [Operator Instructions] This call is being recorded today, Thursday, May 11, 2023. I would now like to turn the conference over to Scott Bauman, Director of Capital Markets. Please go ahead, sir.
Scott Bauman: Thank you, operator, and welcome, everyone, to Tidewater Midstream’s first quarter 2023 results conference call. I’m Scott Bauman, Tidewater’s Director of Capital Markets, and speaking with me on the call today are Rob Colcleugh, Tidewater’s Interim CEO; Brian Newmarch, Tidewater’s Chief Financial Officer; and we’re joined by other members of Tidewater’s management team. Before passing off the call to Rob to review some highlights, I want to just quickly remind everyone that some of the comments made today may be forward-looking in nature and are based off Tidewater’s current expectations, estimates, judgments and projections. Forward-looking statements we may express or imply today are subject to risk and uncertainties, which can cause actual results to differ from expectations. Further, some of the information provided refers to non-GAAP measures. To know more about these forward-looking statements and non-GAAP measures, please see the Tidewater Midstream financial reports, which are available at tidewatermidstream.com and on SEDAR. And with that, I’ll pass it off to Rob to discuss some highlights from the quarter.
Rob Colcleugh: Thanks, Scott. Good morning, and thank you for joining our Q1 2023 conference call. Just before I get into the business review, I want to acknowledge the Alberta wildfire situation. As many of you are aware, Alberta is currently battling a number of wildfires across the province, and the safety of our employees and their families is our top priority. We safely shut down our Brazeau River Complex on Friday, and the facility remains under the mandatory evacuation order for the area. We have since visually inspected the BRC, and our initial assessment is that there has not been any damage to the facility. However, power to the area has been suspended as crews work to reconnect the local power grid. Upon power restoration, we expect to be up and running again at the BRC. We also had a temporary outage at one of our de-high [ph] units at our Ram River plant. That has since been brought back online. Our operations team’s preparedness, coordination and communication have been very impressive throughout the situation as we continue to prioritize the safety of our staff, our contractors, their families and the local communities that we manage through this. Continuing with the recognition for our operations team, I also want to thank our downstream operations team for all the work that’s being done on the scheduled four-year turnaround at the Prince George Refinery. With a week remaining on this project, we continue to have zero lost time incidents, which is an excellent safety result. Our Prince George team is being supported by a team of turnaround specialists who have assisted with the planning, procurement and execution of the turnaround. Our team has a strong track record of safety and successfully executing large-scale maintenance projects, and the project currently remains on time and on budget, with the operations expected to resume next week. Turning to the quarter. First quarter 2023 results were led by strong processing volumes at Tidewater’s midstream facilities, in which our Pipestone Natural Gas Plant delivered a record average throughput of 104 million cubic feet a day. The strong midstream results partially offset the lower refining margins during the quarter as crack spreads came off their historical highs in 2022, with the PG crack spreads averaging approximately C$90 a barrel during the quarter. We’ve seen weaker diesel cracks slightly offset by higher gasoline cracks throughout the quarter, with refining margins additionally impacted by the higher compliance costs in the first quarter of the year. As we progress through the second quarter, we’re seeing the typical moderation in cracks as we move into the spring breakup period that temporarily reduces industrial diesel demand before we move into the higher-demand summer driving season. Now this drop in seasonal demand ties to our turnaround timing, and our refinery is scheduled to be back online to capture the uptick in local demand. On the midstream side of the business, we continue to see strong producer activity in both the Montney and Deep Basin regions. Led by our core natural gas processing facilities at Pipestone, Ram River and the BRC, we saw a 6% increase in throughput volumes during the quarter compared to the fourth quarter of 2022. In addition, the current AECO natural gas price environment presents very interesting opportunities for Tidewater’s natural gas storage assets as we enter injection season and witness widening storage spreads and volatile physical natural gas markets. Within the Tidewater Renewables business, we are pleased with the progress that we’ve made on our HDRD project, which will deliver Canada’s first renewable diesel facility into operation towards the end of Q2. Costs continue to track in line with our last gross estimate of C$142 million, and the funding gap that we identified in Q1 as a result of the project cost overrun has been eliminated. Our renewables finance team did a tremendous job in securing over C$93 million in additional debt and credit grants, resulting in ample liquidity cushion through the start-up without any dilution to equity shareholders. At this point, the HDRD is 95% complete, and construction is expected to be complete in June of 2023, at which point commercial operations will begin to ramp up. The HDRD economics continue to remain attractive. Ramping up production volumes in the second half of the year, we see should see the project generate C$35 million to C$45 million worth of adjusted EBITDA in the second half of 2023, and we anticipate run-rate annualized corporate EBITDA to range from C$130 million to C$155 million. Maximizing value for our shareholders remains a top priority for our team. In our Q4 2022 report in March, we announced that we were conducting a strategic review of our Tidewater Midstream asset base. We are active in that process and expect to be able to announce the results of our review in the coming months. In the meantime, we continue to focus on cost reduction and a highly disciplined capital allocation strategy, which we believe will positively impact our company’s cash flow. Now, I’ll turn the call over to Tidewater Midstream’s Chief Financial Officer, Brian Newmarch, to walk through our financial results.
Brian Newmarch: Thanks, Rob. During the first quarter of 2023, we saw consolidated adjusted EBITDA of C$49 million. These results include about C$12 million of contribution from the renewables business that, due to our 69% ownership stake, we report on a consolidated basis. On a deconsolidated Tidewater Midstream basis, first quarter adjusted EBITDA was approximately C$36 million. Distributable cash flow was C$1.5 million for the quarter on a consolidated basis, with maintenance capital tied to preliminary refinery turnaround activities being the primary driver of Q1 distributable cash flow. Looking across our two businesses, we saw strong operating and financial results from our midstream suite of assets that contributed more than half of our gross margin and asset-level EBITDA for the quarter due to the fact that our core natural gas processing plants handled record volumes. Our midstream business is generating the steady run-rate returns we expect from it, with some upside around our natural gas storage assets as we see increased contracted revenues in Q2 and beyond, amplified by cash market natural gas price volatility we’ve seen recently. Our planned turnaround at the Prince George Refinery is nearing completion, with operations currently scheduled to resume shortly. This is obviously a milestone for us. And while we’re pleased with the progress made with regards to timelines and budget, we still have another few days of work ahead of us before operations can commence the startup. The four-year turnaround was scheduled to coincide with a reduced refined product demand we see during the seasonal spring breakup. This investment in PGR will help bring total throughput back to nameplate capacity of 12,000 barrels per day. The turnaround currently remains on schedule and on budget. And as discussed in this morning’s news release, we confirmed our deconsolidated maintenance capital guidance of C$55 million to C$65 million for 2023. Our capital investments are concentrated in the first half of the year, with significantly lower capital investment planned for the second half of the year. Our 2023 capital budget is concentrated on the refinery turnaround and the completion of Tidewater Renewables renewable diesel facility. As these projects near completion, we are currently forecasting both consolidated and deconsolidated free cash flow generation in the second half of 2023. We expect to provide formal EBITDA guidance once the PGR turnaround is complete and the HDRD facility reaches commercial operations. These are major milestones for Tidewater, and we’re exciting to see the business run at its full potential and realize the returns on our capital investments that we’ve made over the last two years. We continue to make balance sheet strength a priority. And while we’ve seen a slight uptick in leverage metrics, we see this as being temporary due to the maintenance capital we are investing in the first half of the year. We have also recently extended the term of our senior secured credit facility from August 2024 to February 2026, with the facility’s capacity remaining at C$550 million. We will continue to manage our maturities and enhance our balance sheet to ensure we have the financial means to profitably run our business. I’ll now pass the call back to Rob to conclude.
Rob Colcleugh: Thanks, Brian. We’re at a major turning point for our company. Our four-year turnaround at PGR is nearing completion, our major investment in renewable energy is close to producing returns and our midstream asset base is generating a steady run-rate EBITDA profile that we expect from it. Between these solid operating results and the expected outcomes of our asset base review, I’m confident that we can drive share performance for investors. I’ll now ask the operator to open the call up for questions.
Operator: Thank you sir. [Operator Instructions] Your first question will come from Patrick Kenny, at National Bank. Please go ahead.
Patrick Kenny: Thank you. Good morning. Just with the C$93 million of incremental funding in place, wondering if you still see the need to explore asset sales over the near term at the midstream level just in order to shore up liquidity for renewables as well as accelerated debt repayment at the consolidated level? Or is Plan A to simply grow into the balance sheet as cash flows ramp up over the next, call it, 20 months or up to 24 months?
Rob Colcleugh: I mean, two different entities, right? I mean, the renewables business has raised the C$93 million. That’s ample cushion to get our project on as well as progress some of the growth projects. We are not pursuing our asset review with an eye to liquidity as much as we are viewing it as with an eye towards creating value. So, we are continuing to look at all of our options on the midstream side with regard to asset review.
Patrick Kenny: Got it. And then maybe just on the Pipestone Phase 2 expansion opportunity. I mean, it’s been, I think, six months or so since we had the last capital cost estimate. So wondering if you had an update on that C$300 million number, if that’s moved at all. And then also just in light of the recent drop in natural gas prices, if there’s been any notable change in appetite or commercial demand for that expansion year-to-date.
Rob Colcleugh: Sure. I can answer the last question first; it’s probably easiest. We have – we continue to be in regular contact with our existing customers and what will be our Phase 2 customers as well as other operators in the area. And I can tell you there’s a lot of demand for capacity in that region. So that has not changed. We’ve actually seen no decrease in demand. We’ve had newer parties even coming to us for capacity. So that’s not changing. I don’t have anything to announce right now, but I think we will as we come into making some sort of statements around the conclusion of our asset review. I think that hopefully won’t be too far down the road.
Patrick Kenny: Okay. Well, I guess last one for me, just with the extension of the senior credit facility out to 2026. Any thoughts around refinancing options that might be optimal for the C$75 million of convertible debentures due in, I believe, September 2024?
Brian Newmarch: Yes. So the convertibles are callable at face or at par in September of this year. We do have some time to kind of work through the permutations and what makes the most sense in terms of refinancing them. And then ultimately, as you’re aware, all our debt is floating-rate bank debt right now, which we’d like to kind of think about kind of terming things out over time when the market is conducive to doing so.
Patrick Kenny: Great. Thanks guys. I’ll leave it there.
Operator: Your next question comes from Robert Kwan, at RBC Capital Markets. Please go ahead.
Robert Kwan: Hey good morning. If I can just maybe start with the actions to surface value. And you mentioned an announcement or upcoming announcement of [indiscernible] asset review. Do you expect when you make that announcement that it will include actions that you haven’t taken? Or is it just you’re trying to figure out what to do and it will be more about the proposed course of action?
Rob Colcleugh: I can’t answer that, Robert. We will continue to progress through this asset review, and we’ll have some announcements in the not-too-distant future.
Robert Kwan: Okay. I guess I’m just trying to get a sense as to what stage you’re at. Are you still reviewing all the various options and you’re just trying to narrow that down? Or is there actually processes underway that may result in some form of a transaction?
Rob Colcleugh: I’ll just say that we’re pretty deep into the process. We’ve been running this since early Q1. So we have a variety of different options in front of us right now.
Robert Kwan: That’s perfect. And then if I can just finish here with respect to guidance for the financial outlook. Renewables, there was some discussion on that call with respect to specific leverage reduction targets. Is there anything that you’re looking at? I know that the potential asset review isn’t necessarily to delever, but just is there anything out there where you want to bring it below the range? I know you’re in the target range. And then just with respect to the overall EBITDA guidance, I know you’re waiting for HDRD and the PGR turnaround, but TWR gave guidance kind of post commissioning. So I’m just wondering, outside of just the PGR turnaround, wanting to get through that is there anything else that’s just a moving piece that is giving you pause from releasing a range right now?
Brian Newmarch: I just think it’d be premature to give guidance on EBITDA until we know that that refinery is back online and functioning. I think we’ve been pretty clear that the turnaround process itself is on time, on budget. But until we start producing the refined product it’s probably a bit too preliminary and we don’t want to kind of speculate on that. I think it’s pretty constructive from the renewables business and the HDRD to kind of frame up how they see things progressing. Once again, we need to get that renewable product online. And I think we’re just being mindful about what we put out there when we have a firm handle on how numbers are firming up here. And then I think you kind of asked about deleveraging within midstream, specifically. As I mentioned kind of during the opening remarks here, given the amount of maintenance capital in the first half of the year, that is reduced significantly once the turnaround is behind us, free cash flow will be initially targeted towards debt reduction to kind of get back into that 3 times-ish type range in a normal crack scenario.
Robert Kwan: Okay. Yes. But there’s no target to bring that down materially further from the 3 times range?
Brian Newmarch: No. I think we’re comfortable operating in that 2.5 times to 3 times range.
Robert Kwan: Okay, that’s great. Thank you. 
Operator: Your next question comes from Robert Catellier at CIBC. Please go ahead. 
Robert Catellier: Hi. You’ve answered the majority of my questions so far. I’m just curious about your comment on the AECO weakness presenting opportunities for storage. Is that – how are you positioning the company to take advantage of that? And what I’m looking for is, should we expect an increase in your working capital investment over the shoulder season here in advance of the winter?
Rob Colcleugh: Yes. So the reference to – so gas storage comes and goes in terms of its attractiveness. Right now, it’s actually more the time spreads going off into the future, so some simple summer/winter kind of stuff, that’s creating low-risk opportunities for us. But we also see the potential for low gas prices this summer as a result of maintenance issues, which are known, but there’s not a lot you can do about it. So we’ve got storage, Dimsdale, near Pipestone, is our largest gas storage facility, and then we’ve got storage at Brazeau as well. So we operate those right now. And so we don’t anticipate a change in working capital. It’s not going to require more working capital. We already have that. That is deployed in the business. It’s called cushion gas. So no changes there, but yes, we’re seeing some very attractive low-risk opportunities already on gas storage. So it’s nice to see that business coming back up to the top again.
Robert Catellier: Okay. And then just going back to Brian’s answer to the last question on leverage. I think I interpreted the answer to be 2.5 times to 3 times leverage in a normal crack scenario. And so the question really is, what is the normal crack that informs your leverage target?
Brian Newmarch: So obviously, we’re coming off pretty significant crack-to-refining margin last year. Those were driven predominantly on the diesel side of the equation. As we mentioned at the outset, Q1 diesel refining margins have been a bit lower, but they have been offset by some strength in gasoline, and we aren’t going to see that kind of carry forward in the summer driving season here. There’s so much nuance around PGR posted cracks versus New York Harbor and the differentials implied by those different markets, but we see it in kind of that 80% to 85% [ph] type range on that same barrel equivalent. Bottom line is that we do think that 2.5 times to 3 times leverage target is right for a company of our size, and we see ourselves being able to kind of progress back towards those levels as we realize the investments we’ve made on the maintenance capital incurred in the first half of the year here.
Robert Catellier: Okay. Sorry, I just have to clarify. That’s 80% to 85% PGR crack?
Brian Newmarch: Yes.
Robert Catellier: Okay. Thanks, Brian. That’s it for me. 
Operator: Your next question comes from Cole Pereira, at Stifel. Please go ahead. 
Cole Pereira: Good morning all. On the PGR side, you talked a little bit about the cracks. You obviously had some higher compliance costs in OpEx. Is this something that we should be thinking of consistently throughout the year? Is it going to be largely Q1-weighted? How should we kind of think about the cadence of those costs?
Rob Colcleugh: Yes. I mean, the interesting thing is the compliance costs do get reflected in the pricing in PGR or anywhere else, in particular, that has those issues, in BC anyway. So, yes we don’t see it as an impact as much as a timing issue. And we frankly, saw this last year as well, right? You saw an increase in compliance costs that then got reflected in the PGR rack pricing. So it’s sometimes a little bit delayed. We saw that last year, and we’re seeing that a little bit this year. So those increase in compliance affects everybody. And so it’s just a natural that it gets reflected in the price. And we’d like it to happen immediately, but sometimes it takes a little bit of time to work that through the system.
Cole Pereira: Okay. Got it. That’s helpful. Thanks. And just a couple of questions on timing. I mean, coming back to your comments on the strategic review, it sounds like you might have something by the end of Q3, at the latest. And then on the second half EBITDA guidance, should we be thinking that kind of comes along with Q2 earnings?
Brian Newmarch: With regards to the EBITDA guide, yes, that is our next scheduled public disclosure. So that’s correct from an EBITDA perspective. And then I think it’s too early to speculate on timelines and set expectations around formal announcements on something else here, Cole.
Cole Pereira: Yes. Fair enough. Okay, that’s all for me. Thanks. I’ll turn it back. 
Operator: [Operator Instructions] Your next question will come from Andrew Kuske, at Credit Suisse. Please go ahead. 
Andrew Kuske: Thanks. Good morning. I guess you’re kind of at the point of maximum stress with PGR going on a turnaround and HDRD kind of in the final stages. So if you look at the weeks and months ahead, what are the things that worry you the most? And what are the critical path items?
Rob Colcleugh: Good question. The refinery is not a new piece of equipment, right? I mean, it’s a 55-year-old facility. And we’ve moved to a four year turnaround cycle from a three year. So I’ll be clear, there was – has been – we’re not at the finish line yet, but what we’ve seen to date leads us to believe that we’re going to be on time and on budget, and we don’t have a material amount of found work [ph]. So from a sleepless night perspective, that was one of them, and I’m happy that that is nearly behind us, but it’s not quite there, but it’s nearly behind us. And then obviously, we’ve been living through the cost pressures on the HDRD construction project sort of in public over the last year or so and sort of took those lumps. But as I say, we’re getting pretty darn close. That one has – it’s a complicated process. We have done a lot of homework on other facilities and seeing how those other facilities have come up and got both from commissioning to startup, and we’re sort of taking the best principles from those other experiences that are out there. So I’m hoping that that’s the case. I think I’m comfortable to say that the construction issues are not a leading concern on HDRD, and we’ll just get into the startup, going forward. But most of the bigger concerns were the things that we didn’t know about, who was – which contractor was not going to make their commitments and things like that. So we’re kind of beyond that stage, and now it’s just into a thoughtful, methodical startup. So yes, things are less stressful, I guess, than they have been in the previous few months.
Andrew Kuske: Okay. I appreciate the color. And then maybe on the leverage issue, given the asset mix that you’ve got, do you think there’s a more efficient way to gear the capital structure? Because some assets could probably take on more leverage, others take on less. I guess, how do you conceptually think about that issue?
Brian Newmarch: Yes, I agree with kind of your views there, Andrew. It’s not like our midstream is purely contracted revenues. And I think there’s some give and takes that kind of help in lower-priced gas environments and kind of offset maybe some of the activity we’d see from the upstream community as they look to kind of process more gas volumes. We spoke about the gas storage business. And I think as we see spreads open up down the curve, that significantly enhances the value. And we think about where that Dimsdale storage asset is located and the advent of LNG Canada Coastal GasLink [ph] coming online and the implications on the supply-demand balances within that region over the next couple of years. And it’s a pretty strategic asset that has a lot of value associated with it. And then conversely, when we see some of these weak gas prices, there’s the ability to realize wider extraction spreads. So buying gas, essentially not getting liquids and some of the liquids at the elevated liquids prices that we’re seeing right now. So while it would be nice to have a truly contracted revenue profile across our entire business, that isn’t the case. And we feel that this kind of leverage target of that 2.5 times to 3 times is suitable for the business of our size.
Andrew Kuske: Okay, appreciate that. Thank you. 
Operator: Your next question comes from Jessica Hoyle at Scotiabank. Please go ahead. 
Jessica Hoyle: Thanks very much. Just a few follow-up questions here. So you mentioned overall volumes on your systems were up about, I think it was, 6% quarter-over-quarter, with some record volumes at Pipestone. Just how are you thinking about overall volumes throughout the remainder of the year? And could we see some continued strength at assets such as Pipestone?
Brian Newmarch: So I think you pointed out that we have seen record volumes across our main units. So Pipestone, Braz and Ram here. When we take a look at kind of the volumes that we processed last year, last year was a big turnaround year within our gathering and processing business. So it is a bit misleading, because there was some downtime associated with that. We are seeing kind of Pipestone run right around where we’d expect it to. The 104 million was a great print. We’ll be kind of in and around that 100 million cubic feet a day volume, is kind of where we see it on a go-forward basis. And then when we think about kind of the other assets in the Deep Basin, typically they are a bit more correlated to gas prices, but we have seen an uptick in interest to move volumes within that suite of assets as well, that is encouraging here even despite some of the weaker prices that we’ve seen recently here.
Jessica Hoyle: Okay. Great. Thanks for that. And just another one here. So now that you are nearly through construction on the HDRD and the PGR turnaround is almost complete, just overall, how are you thinking about capital allocation, moving forward? You did mention some debt reduction, but just how are you thinking about things like allocating capital between things such as the dividend and other growth projects, moving forward?
Rob Colcleugh: Yes. I think I’ve been pretty clear that we’re going to be extremely disciplined when it comes to growth opportunities. So we have spoken about where we’d like to get our debt levels to, but returning capital to shareholders is definitely on the top of our agenda. So we don’t have major projects on the midstream side that we’ve been addressing right now. But I think we’re pretty comfortable to get this business operating now that we’re through the turnarounds that Brian spoke about last year on the gas processing side and now through the turnaround of PGR. We want to start generating that free cash flow, and we’re really going to try not to get distracted by much in the way of growth opportunities.
Jessica Hoyle: Appreciate the color. 
Operator: Your question comes from Trevor Reynolds, at Acumen Capital. Please go ahead. 
Trevor Reynolds: Hey guys. Sorry I was a couple of minutes late joining. So if you’ve already answered this, apologies. But just wondering about the shutdown at BRC with the fires in the area, how close in proximity they are and kind of what your sense is in terms of getting that back online.
Rob Colcleugh: Yes. They were really close. The fires basically surrounded the BRC. The drone photos are pretty scary. It’s just black all around the entire facility. Fortunately, I think part of it is we had a good buffer around it. So that certainly helped. But we were able to get some people back on the ground there day before yesterday, and they, at least from a visual inspection, it didn’t look like there was any damage. So we really need to get the power back to the facility. That’s the number one issue. And after that, we can assess, whether what the timing is like. And again, we’re pretty happy with what we’ve seen to date. But yes, we’ve got to get in there. And as I said, the power, we haven’t gotten any guidance on when we should be seeing that power returning, but it’s really getting poles back up. So it shouldn’t take too long.
Trevor Reynolds: Okay, that’s helpful. Thanks guys. 
Operator: This concludes the question-and-answer session. I would now like to turn the conference back to Scott Bauman for any closing remarks.
Scott Bauman: All right. Thank you very much, Operator and thanks everyone, for joining the call. The team is available to address any outstanding items, with our contact information at the bottom of this morning’s press release. And with that, we’ll wrap things up and sign off. Thank you very much, everybody.
Operator: Ladies and gentlemen, this does conclude your conference call for this afternoon. We would like to thank you all for participating and ask you to please disconnect your lines.